Operator: Good morning. My name is Laura and I will be your conference operator today. At this time, I would like to welcome everyone to the TMX Group First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I will now turn the call over to Paul Malcolmson, please go ahead, sir.
Paul Malcolmson: Thank you, Laura and good morning everyone. Thank you for joining us this morning for the first quarter 2015 conference call for TMX Group. As you know, we announced our first quarter results last night. A copy of the press release is available on our website, tmx.com, under Investor Relations. This morning, we have with us Lou Eccleston, our Chief Executive Officer; and Michael Ptasznik, our Chief Financial Officer. Following some opening remarks from Lou and Michael, we’ll have a question-and-answer session. Before we begin I want to remind you that certain statements made on the call today may be considered forward-looking, and I would refer you to the risk factors contained in today’s press release and also in reports filed by TMX Group with regulatory authorities. Now I'd like to turn the call over to Lou.
Lou Eccleston: Thank you, Paul, good morning everyone and thanks for joining us for today’s discussion of TMX Group Financial Results for first quarter 2015. By now I trust that most of you have had a chance to read through our press release and first quarter financial statements which we filed yesterday evening. Michael’s going to take you inside the numbers and talk about our results in detail in a few moments. I want to focus for the moment on majority of the comments this morning on the work we are doing to set the course for the future of TMX. During my first six months as CEO, I have personally met with many customers and regulators who are that our shareholders and employees across the globe. I’ve also met the provincial and and federal government officials and I’ve discussed TMX’s important role in kind of this economy and in the North American capital markets echoes just in as well. All this research coupled with feedback from many interactions as suddenly a great feel about company and really broadened my perspective on the positions that we occupy. I think, I now have a pretty good handle on both what we do well and on what we can do better in terms of addressing the countless challenges faced by our customers and how we can provide optimal service to the Canadian market place and really maximise value with shareholders. But the next crucial steps in TMS Group aren’t solely based on my perspectives. As I mentioned on our last call, we’ve undertaken a full scale analysis of our markets, and our organization to understand how best to advance TMX beyond the notion of simply a group of companies to TMX, the company. We included the analysis portion of that process now and we’ll be sharing our findings with TMX Group Board of Directors. While we told you about all the details in the coming months, I still want to give you an update to that. So to start, we work to identify what we believe are the greatest areas of need for our clients and the markets in which they operate. From there we are going to build out the balance investment strategy and at the same time we’re working through what is required to successfully execute on that strategy and that’s in terms of both resources and organisational capabilities. We are working to build on the foundation for how we are going to provide value clients, deliver total return to shareholders and build contended differentiation for TMX going forward. So very clearly the focus has more trust now going forward. One area that is of utmost importance for TMX than a tenant of our value proposition is capital information. One of our clear positions of strength is our portfolio of assets in this round including listing and posting capabilities,[Indiscernible] in our public and private markets. We facilitate a network and a community that connect investors of all types, the entrepreneurs and all stages of companies that need funding. These markets are constantly and rapidly evolving and we will pursue strategy that most effectively leverage our portfolio of assets which includes top notch multi asset quest trading venues and to connect those who need capital to grow those who want to invest. The more effectively we do that, the more we help investors and companies prosper. This cross theory leads to more jobs for Canadians and surge to attract more foreign investments into this country. Another area of intense focus is going to be on ways in which we can help our clients to be more successful. We are going to work on solutions that derive more insight and value from the vast amount of data that is generated across our business operations. I believe, we have a real opportunity to leverage technology that provide analytics and rely on data science to help our clients efficiently and effectively manage volumes of diverse data that improves the decision making, things we deal with everyday. In terms of technology, today we are world class infrastructure sharp. We’re going to continue to pursue technology that will serve to differentiate ourselves in market, the necessary work now is to evolve our capabilities and grow the better understand and anticipate our client’s needs. In operations, we’re going to push the evolutions organisation. We will look for ways to better support each of our business lines as well as maximize the inherent cost advantages of being TMX one company. Lest but not the least, we are going to make it a priority to create an environment and culture that serves our employees with the company that embraces constant learning and one in which thousand people work together as a team to build the future of our company. So to summarize, of course we are here to focus trust, we’re going to be implementing a strategic plan which injects our operational improvements, new product development and solution initiatives, building stronger customer relationships and four, creating a culture of employing engagements that develops and attracts talented people. It’s a priority for TMX Group to be the provider of choice for our customers to call on us and to rely on us, get expertise in value of products in all of our markets. In order for us to move the company to this future position, we will also be taking measures to ensure payments grew with operating as efficiently and as cost effectively as possible. In its first quarter, we took measures to realize efficiencies within our organization including the prioritization and deferral of certain initiatives, reduction in the overall number of projects we are working on and reducing the overall number of employees in the company. Michael can take you through the specifics, but we encourage some organizational transition cost in the quarter and we’ll realize ongoing annual savings going forward as a result of the measures. Key bank cost down not only helps improve our company’s financial performance, but enables us to re-deploy savings to make necessary investments in our future. In terms of the company’s operational performance in Q1, a sustained low volatility environment and weakening commodity prices including crude oil continue to negatively impact revenue drivers across some parts of our business. But importantly for contacts, our equity markets, our Toronto Stock Exchange and the Venture Exchange performed in line with our local peers in the first quarter. We were fourth in the world by a number of new listing and sixth in the world by equity capital raised through the first three months of 2015. And the markets outlook exchange posted a number of open interest records going forth, that seem to do well. So despite like in ideal conditions we continue to see growth and positive signs in other important business areas, specifically domestic derivatives, information services and risk management. So accordingly, we have refilling now some important new initiatives and taking it from a crediting and transformative steps in our client enrolments. In our equity business, as you are all aware we announced the post changes to our market places where we are focussed. These changes are aimed at directly improving the Canadian Equities Trading Landscape for all participants. Couple of weeks ago we reached an important milestone in this initiative when our proposed changes to illustrating trading model received regulatory approval. [Indiscernible] launched September this year Alpha’s innovative new trading model is designed towards superior execution, quality for national investors and reduce trading cost to repay out and institutional investors. The profits to reach this distribution was invigorated and enhanced by the feedback we received during the public comment period and is indicative of the depth of our commitment to providing the best markets in the world not only for children subset to the market, but again for all participants in the market. And just last week we announced our new Equity Trading Fee Program, what’s again international dot client, restored positive changes targeted at addressing concerns and making our markets ultimately more competitive and more attractive. Plan to take effect June 1, 2015 we are introducing series of face reductions and might major takeaways which are designed to lower active trade costs for our dealers, minimize unnecessary intermediation and increase investor confidence. Progress in these types of initiatives that is particularly encouraging for that important reason. We are working to solve challenges our participants face every day. TMX Groups ability to peak and flourish in the global market place will be defined by our ability to meet our customer’s needs and enhance the overall user experience they have on our markets. So with that, that concludes introductory comments and I’m going to turn it over to Michael.
Michael Ptasznik: Thank you, Lou and good morning everyone. I’ll begin by talking about our first quarter results on a year-over-year basis. For this past quarter there was a 2% increase in revenue and 13% increase in operating expenses and a 13% decline in income from operations. Reported EPS was down C$0.08 at C$0.78 per share and adjusted EPS was down C$0.14 at C$0.91. The decline entered into Q1 was largely driven by significantly higher severance cost compared with last year as well as by increased process for the growing and raise our listings business and I’ll discuss this shortly. First turning to revenue, information services revenue was up 6% in Q1 2015 compared with last year surpassing the C$50 million mark for the first time primarily reflecting the positive impact from the appreciation of the U.S. dollar against the Canadian dollar and the acquisition of Strike Technologies, our microwave networking business. Technology services and other revenue also increased year-over-year reflecting higher raise of risk revenue as well as an increase in net FX gains and U.S. dollar and other non Canadian dollar denominated assets. Issuer services revenue declined by 5% compared to last year, largely due to a decrease in additional listing fee revenue which partially reflect lower financing activity for TSX Venture listed companies due to reduced commodity prices particularly crude oil. As you will have noted in our statistics, the number of transactions build for Toronto Stock Exchange with the issuers generating additional listing fees dropped by 13% from 264 in Q1 last year to 229 this past quarter. Sustaining listing fees increased in Q1 2015 over Q1 2014 reflecting a higher market capital on TSX at the end of 2014 as well as the impact from an increase of the maximum sustaining fees which was effective January 01, 2015. The increase was somewhat offset by the impact of a lower overall market capitalization at the end of 2014 for TSX Venture companies which resulted in lower revenue from those issuers. Revenues from equity trading declined in Q1 2015 over the prior year primarily reflecting a 4% decrease in overall volumes and what continues to be a relatively low volatility environment. On the other hand, derivative volumes increased on MX by 8% year-over-year and what ended up giving a more active environment for interest rate products in Q1 following the announcement by the Bank of Canada to lower interest rates by quarter percent in January. Cost revenues declined this past quarter while there was a 14% increase in volumes and a positive impact from the depreciation of the U.S. dollar versus the Canadian dollar, these factors were more than offset by the impact of the price reduction that we implemented in March of last year. Revenue from energy trading increased in Q1 reflecting higher short term energy brokers revenue, the positive impact from the [Indiscernible] Canadian dollar and lower deferrals of revenue by NGX in Q1 2015 compared with Q1 2014. Turning to costs. As I mentioned operating expenses in Q1 2015 were up 13% compared with last year, compensation and benefit cost account for over C$12 million of this increase including approximately C$5 million relating to headcount reductions. We expect that these headcount reductions will result in an ongoing annual cost savings of about C$4.3 million and we plan to use this to fund new initiatives. In Q1, we deferred some initiative spending as we work to complete a strategic process that we described. There are several other factors contributing to the increase in compensation expense, including an increase of about C$3 million to support the increase in rates of risk revenue, a C$1.3 million decrease in the amount of labor cost associated with technology initiatives that we capitalized compared with last year, and increase in employee performance incentive cost largely due to the one-time adjustment or credit of C$1.1 million in Q1 of last year. The increase in information and trading systems cost was primarily due to including new costs from Strike Technologies. Now looking at our financial results on a sequential basis, revenue in Q1 2015 was up by 1% compared to Q4 2014 largely due to increase in information services revenue somewhat offset by a decrease in issuer services revenue for the initial and additional listing fees. Operating expenses increased by 2% from Q4, 2014 to Q1, 2015 primarily reflecting the same factors that I mentioned for the year-over-year increase, significantly higher severance cost and higher rates of risk cost associated with the higher revenue. We also have higher payroll factors as is normally the case in Q1, which offsets in lower technology and marketing expenses related to initiatives. Income from operations increased slightly from Q4, 2014 reflecting the impact of the higher revenue partially offset by the increased operating expense. Our reported diluted earnings per share increased by 3% from C$0.76 in Q4, 2014 to C$0.78 in Q1, 2015. Q4, 2014 we recognized additional costs of C$2.5 million primarily related to post retirement benefit expenses which reduced net income and EPS for that quarter. Finally in the apples-to- apples comparison our adjusted EPS decreased from C$0.93 per share in Q4 2014 from C$0.91 per share in Q1 2015 reflecting slightly higher net finance cost and a lower share of net income from key accounting investees. We reduced our debt by almost C$30 million during Q1. That repayment will continue to be primary use of excess cash in 2015 and yesterday our board declared quarterly dividend of C$0.40 per common share to be paid on June 12, 2015 to shareholders of record on May 29, 2015. And with that, I will turn it back to Paul for the Q&A session.
Paul Malcolmson: Thanks Michael. Laura, could you please outline the process for the question-and-answer session?
Operator: [Operator Instructions]. The first question comes from the line of Shubha Khan with National Bank Financial.
Shubha Khan: Thanks, good morning. So first question I had was on the operating expense side. I’m assuming that headcount reduction in the quarter was part and parcel of the strategic review that’s ongoing right now. Was this largely related to staffing at your equities trading platform which you are restructuring or were other businesses affected as well?
Lou Eccleston: I would say it’s obviously related to the strategic plant but it’s really more a business as usual that which is obviously with certain considerations where we are going to be heading, but it was something that had been, that we have been working on for a little while even before we started the strategic planning close to ourselves. I wouldn’t say it’s directly to but obviously it is tied into considerations. The Hi-Tech came from really across the organization so we are looking as we mentioned in the past we continue to look for ways to operate more efficiently and we did look at all parts of the business and that’s where the headcount reductions came from.
Shubha Khan: Okay, and that’s helpful. And just staying on that theme, and I’m assuming that it will be difficult to tune it down to a specific number here, but given the number of initiatives you have embarked on, is it likely that operating expenses will be at a level similar to Q1 in the quarters ahead or maybe if you can give us sense of the direction of OpEx relative to Q1 and for how long these expenses might remain elevated?
Lou Eccleston: Well, as I said, we’re not going to look the forward looking guidance. We’ve talked about that in the past, but the way I think about is we try to highlight those one-time items that we have in the quarter like a C$5 million. If you look back for last couple of quarters have been in and around that C$115 million plus or minus range, plus or minus C$50 million and the strategic plan is going to take a while before that really starts to kick in and obviously if you make – if we do anything substantial, we’d be making announcement around that or including on the results and explaining it. So, we’re currently operating in that C$115 million plus or minus mark and depending on the nature of initiatives versus the cost savings that’s the current – that’s where we’ve been the last couple of quarters. And as I said, there’s going to be anything material that we would change, that’s when we would make sort of announcement.
Shubha Khan: Okay. Perfect. And final question, I guess in your prepared remarks Lou, you noted that capital formation will central to what TMX does going forward. But capital raising by at least by venture listed names this quarter clearly stalled because the oil price backdrop of margin and at least from my perspective its difficult to see how that trend is refreshed in the near terms unless where prices recover. So, are you think else that provide relief to listing fees in the near term?
Lou Eccleston: Well, I think here’s number of things there. If you look generally though at the marketplace and I think share across North America as well as just Canada, in fact, even in Europe, you heard the same thing. There is generally an issue obviously around prices. There is generally systemic issues around traditional ways of funding venture companies. But in general we’re also looking curious as trying to expand the places where some of companies can actually get capital fund. For example, if you look at the marketplaces there are just many companies today that need money as evidence. There’s also problem where money in the marketplace as their effort has been. So, he looks at some of the listings recently in venture, I think you get a little listing to the future. You look at some biotech companies and things like that have corporate money behind them. I think there’s new source of money that’s going to come into this market and as we think about what we do around capital formation we’re going to be looking at ways to expand the community of funding to our companies and across different asset classes, I mean today there are 65% of our listing, listed companies are in the resource area that leaves us a pretty large percentage of other asset classes and those asset classes also need funding. So we view this as a broad base and we also view as a very much like our trading venue in – from our stock exchange, North American focus with international clients out. We have international clients out today in the resource area for sure and we think there is potential there. So this is a really broadening of the thinking that will be going through as we think about where we do we go with Venture. So there’s systemic issues in the business as it had always interested but there’s real opportunity we think we can grow the business.
Shubha Khan: Okay. Understood. Thanks. That’s all my questions.
Operator: Your next question comes from the line of Geoff Kwan with RBC Capital Markets. Your line is open.
Geoff Kwan: Good morning. The first question just maybe adding on to Shubha’s question on the deal pipeline, I mean, how do you feel about the pipeline today versus a few months ago, and then can you kind of talk about are there, what are the industries maybe properly speaking that might be more prominent in that deal pipeline. And then, are there any other industries that directionally over the past few months that the pipeline might have caught a little bit deeper less deep main obviously oil would be one that probably got less deep?
Michael Ptasznik: Yes. You know, I think and I’ve got. I might have Kevan Cowan to jump in a little bit on this one too. But clearly as I just mentioned biotech, I think in the technology world there’s a range of companies that we think are lined up to looking at funding. And I think again the more like an reach out for those types of companies and let them understand the value what we bring to the market, I think that where that’s going to be an additional pipeline, so Kevan, you want to answer that.
Kevan Cowan: Sure. I think in terms of you ask about now versus the few months ago, I think what we’re seeing are relatively steady pipeline across all of the sectors and then the sector where we’re seeing a lot of excitement is around technology, for example, Canada has a great line up for private technology companies right now that have announced intentions to seek public listing and we’re very excited about that.
Geoff Kwan: Okay. Next question I have was just on the discussion around expense deferrals in Q1, it’s a thought process there I mean essentially whenever when you guys do come out with the results of your strategic review that we would kind of notionally see an increase and the spending again there and/or is there going to be kind of a delay once you kind of have and on particularly the new kind of strategy?
Lou Eccleston: I think it really depends on how we laid out the strategy and which initiatives are going to be undertaken at a certain point in time. Its not like we’re going to come with a strategy and then go out and spend C$1 million next day, so it really – the different parts of the business are going to be different initiatives that are going to rolled out at the different times, but the same time as we mentioned we’ll be looking to obtain operational savings as well by running organization more efficiently across the multiple platforms that we have. So, there really is going to be some plus and minuses then I start to predict what the actual cost would be overall. And your part of the program what we’re looking here is that we are looking to focus our investment dollars and our capital in most specific areas, not necessarily as broadly as we have in the past, so there will be more focus spending and there will also prioritizing our initiatives on cost organizational and the ones that we at the most value. So it’s going to be a more focused platform as oppose to pure diversification play the view I had historically.
Geoff Kwan: Okay. That makes sense. So I mean, if we were to seem that you guys will provide an update on this strategy review when you report on the Q2 results, would it fair then to thing that the expenses, the expense deferrals would also continue into the Q2 quarter and may look somewhat like Q1?
Lou Eccleston: Well. I mean, we are also continuing to execute on the initiatives we talked about the JR [ph] program and the changes that we’re making there. We continue to work on the number of initiatives across the organization. And then some of it just a matter of timing is to when those expenses and taking the P&L when we are able to launch in those so. We continue to work on parts of the business. We’re not sitting and waiting in total. There has been a bit of a slowdown and some of them is – some of the ones that we working on as we do the prioritization, but it’s not a complete stop of the different types of the initiatives that we are undertaking. So, really is somewhat just a matter of timing of when things hit the market.
Michael Ptasznik: Yes. I think its fair to say that you’ll see a different mix as we think about in any portfolio, but I think that will be certain areas will be prioritize. In other areas will add more to a prioritize initiatives. And then also you’ll hear something around as I mentioned in my comment from the solutions. We’re going to wholly sale. Do that. We’re going to write to with the return, how we’re driving shareholder value. That’s going to be – that lands never goes away, but I think there’s going to be a rebalancing of that portfolio and how that spend is invested.
Geoff Kwan: Okay. And maybe one last question is, the regulators in Canada has been potentially looking at the maker-taker model and you guys have announced some changes around that. What are the issues on doing that pilot study was whether or not the U.S. would do that in Canada. It seems like the comments out of the U.S. is, there is receptivity to that. So my question is more kind of on a hypothetical situation. I mean, if we did want to remove the maker-taker model and presumably good to a taker-taker model, one could argue that historically volumes have benefited from the move to the maker-taker with HFTs and other participants increasing overall volumes in the industry by going hypothetically to a taker-taker model. What’s you view on what that might do to kind of industry trading volumes.
Lou Eccleston: Well, let me address this first part first. We are very much in dialogue with regulators both in Canada and in U.S., and one thing that I said before and stress again that we are n North American market. When you look at the way things to develop you have to realize that. We can’t really stress in our dialogues with regulators in both countries that monetization is really important, right, as you look at this. So that’s where is much concerns with as anything. This effort is really around taking lead. We listen to the customers. We look at the market. We saw the dynamics of the market and because of this constant dialogue we have with the regulators both here in Canada and in the U.S., we saw an opportunity take a lead and as I said, also in my comments that we’re working very hard to be in market for all participants, that’s very important to us. So, where that monetization goes, exactly what the final role changes would be are going to wind-up driving volumes, but in the end we saw the opportunities take a lead and we get out there in conjunction with the messages we see from regulators and move first instead of waiting for a pilot, the comp, because we think we’ll actually have better result faster from joining [Indiscernible].
Geoff Kwan: Okay. And then, sorry, I mean, if it didn’t move to taker model and you have view on where industry volumes and how that might react to that sort of change?
Lou Eccleston: Kevan, you like to update that on.
Kevan Cowan: Yes. As we said, we keep our eyes on all marketplaces. We do have multiple platforms as you know and we have multiple fee models now and we have our fee models in constant monitoring and revision where appropriate. If we see industry changes like you’ve suggested we will assess those and move ahead as well. As we balance those different needs of our customers, but as Lou said we are taking leadership here and we do have multiple fee models in place as of now, including as we put us in place in September with the reverse taker-marker model.
Geoff Kwan: Okay. Thank you.
Operator: Your next question comes from the line of Paul Holden with CIBC. Your line is open.
Paul Holden: Thank you. Good morning.
Lou Eccleston: Just want to continue on the last topic there in the evolution of the literating seas structure, so when I think about it I would agree that volumes are likely go down as a result of the changes you’re making and at the maker-taker model NOI. But on the other hand it looks like your spreads are going up as that, so at least in terms what you’ve so far is that correct?
Lou Eccleston: As you look through the fee model there are various tiers and in certain cases we haven’t enhance the spread. In other cases we kept the spread in the same place and this is the first phase of a multiple phase programs. And as we said, we remain careful analytics as we go to make sure that we kick our factors –kick our factors into account.
Paul Holden: And what would your expectation be in terms of a net impact on our fee, trading fee or revenue?
Lou Eccleston: Our expectation is that our net impact will be very minimal; neutral numbers zero [ph].
Paul Holden: Okay. Good. That answers my question. And then in terms of the cost savings you’ve highlighted on the comp side, I think I got this, but I just want to clarify that the four million of cost savings that you realizing will be redirected to spend elsewhere. Is that correct, so the net we should be forecast effectively will be zero?
Lou Eccleston: Yes. I think we put in the remarks that we look to reinvest those in some of the new initiatives. Though its about trying to manage our cost and we said trying to prioritize those areas that will grow the business and redeploy those efficiencies into hopefully new profitable growth area, so we know lot people baking that into the models, taking cost down like C$4 million here.
Paul Holden: Correct. Okay. Got it. Any comments you can provide in the terms of the change in leadership at box, will that does it suggest that it will more strategic change coming there?
Michael Ptasznik: I don’t think there’s anything that suggest beyond as that, that was no change in leadership, it was smooth transition, I mean you had a – you got new officers in there who’ve been with the company for quite a while, but – so it was a pretty smooth transition. And I think you’ve already seen some of things we gone with BOX to have more participation in. And so I think it just going to more execution in the strategy plan we already announce with BOX, so I don’t see more as a change in direction, I see it more as a –more of an execution of the strategy we’re already put in place.
Paul Holden: Okay. And then, maybe you can provide us an update with TMX private markets, I mean, you reiterated a number of times on this call in your MD&A what the important role that TMX plays in capital formation and that’s a relatively new initiative in terms of capital formation, so maybe an update on progress with that venue?
Lou Eccleston: Sure, so as we rolled the TMX price in market in the late fall in November. We’re much in the build phases in terms of signing up customers. That include both the broker dealers who will be coming into trade as well as the efficient results [ph] are being posted on the market. We’re really pleased with progress in terms of getting those people, we have 43 approved participants signed up and we have 15 securities posted for trading and we’re continuing to build on that.
Paul Holden: So, you’re happy with the progress to-date?
Lou Eccleston: We are happy with the progress today. We always like more but its kicks off.
Paul Holden: Okay. Final question is suggest by the [Indiscernible] on this call that we’re generally expecting an update on your strategic plan with the Q2 results, so just to clarify Lou, is that fair time frame?
Lou Eccleston: Yeah. I think that’s fair time frame. May not be the final but definitely it will be an update.
Michael Ptasznik: I think for sure we’re at a point where we’ll be at point where we had our discussion with board. We’ve identified within those what I call pillars of the big areas of investment. I think what we’ve identified the key things we need to do organizationally feel about execute against that. And then the work left will be the specific investment inside of each of those pillars, that’s where they’ll continue into the second half with the goal of being in full execution mode on this strategy as we move into 2015.
Paul Holden: Okay. That’s it from me. Thank you.
Operator: [Operator Instructions] Your question is from line of Graham Ryding of TD Securities. Your line is open.
Graham Ryding: Hi, gentlemen. There’s been lots of questions around the strategic reviews so most my questions are answered there, but I did not see you highlighted areas where you see growth opportunity around domestic derivatives, information services in risk management. Is that – can I agree that as a interpretation of that sort of potential areas that you see here likely to be within your strategic pillars?
Lou Eccleston: I mean, those are areas that as we gone through as kind of that early on like capital information. We thought a lot about have solid of progress and information with module exchange and everyone knows that the global spend around risk management is one of the largest addressable market for those right now out there. So, I think that’s fair to think about what.
Graham Ryding: My action suggest with the on the regulatory front, you obviously got approval for Alpha but it did not get approved or granted protected status, I guess presumably due to the speed bump feature, but I know as [Indiscernible] so with that -- is there some reason why there is efforts there or is that something that you expect the regulators to look at again try to do get the margin efficiency there.
Lou Eccleston: Kevan add to remark in the second, but I think the reality there is that, this is a good example of what’s happening in markets and I think maybe my first call ever with overview I talk about the over writing trend right now in the marketplace that the simultaneous move around technological events and the markets in general, all participants and the regulators really trying to get their arms around you know how that to manage, what’s happening. And when you look at the issues around this like fragmentation, and like cost saving and like latency, these are very much symptoms of the weighted solutions that have been put forth in the marketplace. So by the definition the more markets you’ve got, the more of those kinds of things are going to be issues. So I think in general there is challenge for all of us in the marketplace to really try to understand what’s the right way to done. What’s the right way to deploy strategies for clients and I think you’ll see this no material what you got right now around the world. So it’s a bit of symptom of that. I think what you’re seeing is a transition and I know Kevan comments, I think you also saw comment from the regulators talking about how this is going to be looked at in more detail right now -- Kevan, do you want to add.
Kevan Cowan: Yes. We think unprotected status is the right solution for this kind of marketplace and other marketplaces like in. This is very much based on customer impact and this is very much commercial solution to provide certain services to customers. We believe very strongly in harmonization and as Lou said, we’re encouraged that the regulators will be looking at as these markets from a point of your harmonization.
Graham Ryding: Great. And is there any update on the CSA’s overall review of equity chain and some market data on the potential timing of when we should expect I guess provide us an update?
Kevan Cowan: Yes. Nothing specific that, that’s been into the marketplace.
Graham Ryding: So, would you expect 2015 is still realistic time frame?
Kevan Cowan: I don’t think it’s really for us to comment on.
Graham Ryding: Okay. Yeah. I think that’s good for me. Thank you.
Kevan Cowan: Thanks Graham.
Operator: There are no further questions at this time. I will turn the call back to the presenters.
Paul Malcolmson: Thanks. Just a reminder to everyone that our Annual Meeting is today at 9.30 here at 130 King in Toronto and also you can access the webcast of the meeting on the investor relations portion of our website under events. Thank you for joining us today. The contact information for media as well as for investor relations is in our press release and we’d be happy to take further question. Once again thank you and have a great day.
Operator: This concludes today's conference call. You may now disconnect.